Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Q3 FY 2021 Casey's General Stores Earnings Conference Call. At this time, all participant lines are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to introduce your host for today's conference call, Mr. Brian Johnson. You may begin.
Brian Johnson: Thank you. Good morning, and thank you for joining us to discuss the results from our third quarter ended January 31, 2021. I am Brian Johnson, Senior Vice President, Investor Relations and Business Development. With me today is Darren Rebelez, President and Chief Executive Officer; and Steve Bramlage, Chief Financial Officer. Before we begin, I'll remind you that certain statements made by us during this investor call may constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements include any statements relating to expectations for future periods, possible or assumed future results of operations, financial conditions, liquidity and related sources or needs, the company's supply chain, business and integration strategies, plans and synergies, growth opportunities, performance at our stores, and the potential effects of COVID-19. There are a number of known and unknown risks, uncertainties, and other factors that may cause our actual results to differ materially from any future results expressed or implied by those forward-looking statements, including, but not limited to, the timing of closing, and the integration of the pending Buchanan Energy acquisition, our ability to execute on our strategic plan or to realize benefits from the strategic plan, the impact and duration of the COVID-19 and related governmental actions, as well as other risks, uncertainties and factors which are described in our most recent annual report on Form 10-K and quarterly reports on Form 10-Q, as filed with the SEC, and available on our Web site. Any forward-looking statements made during this call reflect our current views as of today with respect to future events, and Casey's disclaims any intention or obligation to update or revise forward-looking statements, whether as a result of new information, future events, or otherwise. Now, I'd like to turn the call over to Darren to discuss our third quarter results. Darren?
Darren Rebelez: Thanks, Brian, and good morning everyone. We look forward to sharing our third quarter results with you this morning. Once again, our team has demonstrated tremendous resilience in a difficult environment, and as a result, we've maintained our strong financial performance one year into the pandemic. For the past year, we've navigated many challenges and complexities, yet we've been able to continue serving our guests in new ways. From offering curbside pickup and expanded delivery, to refreshing our brand, including a new logo, to launching our Casey's branded products, we are more relevant with our guests than ever. We are here for our guests, and we're here for good. Our team makes this all possible, and I couldn't be prouder of each Casey's team member. Our 40,000 team members are going above and beyond to serve our guests despite the pandemic and a harsh winter in many areas. We remain intensely focused on their health and safety, and now that includes encouraging all our team members who are eligible to get the COVID-19 vaccine. To support vaccinations, Casey's is providing a wellness bonus of $50.00 to team members to complete the full dosage of the vaccine. As availability and access increases, we're optimistic that more of our team members will be vaccinated in the coming months. We're also here for good in our communities. During the third quarter, Casey's completed an in-store giving campaign, in partnership with PepsiCo, to raise funds for organizations providing assistance to veterans and their families. As a veteran myself, I know the great sacrifices these families have made, and the challenges they face. This year's campaign raised over $1.4 million that benefited two outstanding organizations, Children of Fallen Patriots, and Hope For The Warriors. Each of them received over $700,000 from the giving campaign that occurred in November. These funds will allow the charities to have an even greater impact on the lives of veterans and their loved ones. Thank you to our vendor partners, each Casey's team member that made the donation ask in our stores, and especially to our guests who truly do good when they shop at Casey's. Now, let's discuss the quarter's results. We finished the third quarter with diluted EPS of $1.04, an increase of 14% from the previous year. The results are particularly impressive given the challenges the team faced with the COVID resurgence during the quarter. Fuel profitability remains a primary driver of the increase, along with inside same-store sales, which were up 2.1%. The team also remained nimble throughout this turbulent time, but was able to reduce same-store labor hours 5% after adjusting for the store resent and COVID-19-related pay, as we continue to actively adjust operating expenses in real-time to the circumstances. I would now like to go over our results and share some of the details in each of the categories. During the third quarter, we continued to experience a favorable fuel margin environment. Fuel gross profit was up 37% compared to the prior year, with a fuel margin of $0.329 per gallon. The fuel team did a tremendous job balancing volume and margin when considering wholesale fuel costs rose approximately 45% throughout the quarter. A steady rise in costs throughout the quarter, the most challenging fuel margin environment to operate in, and the team responded by delivering yet another solid performance. I'm also proud of their performance relative to industry volumes and profitability in our geography. Same-store gallons sold were down 12.1% compared to the prior year due to continued traffic disruption from the pandemic. We currently have 74% of our fuel volume under contract, and our fleet card program has over 8,900 accounts, which is a 3% increase from the second quarter. Commercial sales represented about 12% of our total fuel sales. Same-store inside sales were up 2.1% for the quarter, with an average margin of 39.6%. We continue to see larger basket size offset by lower inside guest traffic. During the first-half of the quarter, the company performed a significant store reset at over 2,200 locations. The reset involved moving interior shelving to improve traffic flow, as well as adding shelf space vertically to expand selling space. Not only will this enable us to more effectively roll out our private label program, we believe this will optimize category flow and adjacencies with existing SKUs, and has allowed us to add more variety within existing categories. Initial results from the reset are encouraging. We did see grocery and other merchandise sales improve throughout the quarter following the reset. Alcohol and packaged beverages continue to perform well, and tobacco was positive for the second quarter in a row. Same-store sales were up 5.4%, with an average margin of 30.7%. The margin is still adversely impacted by both tax size and mix shift among the categories, along with the one-time impact of discount and merchandise no longer carried from the store reset. Same-store sales were down 5% in our prepared food and fountain segment. The average margin for the quarter was 60.6% versus 60.2% from a year ago. Self-serve items, particularly those sold during the breakfast daypart, like bakery and coffee; continue to be hampered by lower guest count. The COVID resurgence experienced during the first-half of the quarter amplified this as more people were at home from work or school. Whole pizza pies continue to outperform, with same-store unit sales up 17%. Margins benefited from a modest cheese price improvement, partially offset by sales, particularly in the morning daypart. I would now like to turn the call over to Steve to go into some detail on the financial statements. Steve?
Steve Bramlage: Thank you, Darren, and good morning. Total revenue for the quarter was $2 billion, a decline of $240 million or 11% from the prior year. This was due to the decline in retail sales of fuel of approximately $275 million, driven by the lower number of gallons sold and the lower retail price of fuel. The average retail price of fuel during this period was $2.12 a gallon, compared to $2.40 a gallon a year ago. Total gallons sold for the quarter were down 9.5%, to 518 million gallons. Total inside sales were up 3.8%, to $888 million. Grocery and other merchandise sales increased by $42 million, while sales of prepared food and fountain fell approximately $10 million. Please note that all reported figures are favorably impacted by approximately 2% more stores operated on a year-over-year basis. Lottery ticket sales are not included in inside sales; rather we record our net commission in other income. Lottery ticket sales have performed well throughout the pandemic, especially in the third quarter, where two very large jackpots drove guest interest. If we had recorded them as part of our same-store sales, our year-over-year performance in the third quarter would have increased inside sales by approximately 380 basis points. Casey's had gross profit, which we define as revenue less cost of goods sold but excluding depreciation and amortization, of $540 million in the third quarter. That's an increase of over $43 million from the prior year. This is primarily attributable to higher fuel gross profit, of $46 million, offset by a decline of $5 million of prepared food and fountain gross profit. Inside gross profit margins were 39.6%, a decline of 200 basis points. Grocery and other merchandise margin was 30.7%, a decline of 220 basis points. Prepared food and fountain margin was 60.6%, which is an increase of approximately 40 basis points from prior year. Grocery and other merchandise margins continue to be pressured by a mix shift both within categories as consumers continue to purchase larger pack sizes as well as across categories as lower margin products like beer and tobacco outperform. The company also discounted certain merchandise in conjunction with the store reset that Darren previously mentioned. Prepared food margins did modestly benefit from a favorable cheese cost comparison. Our cheese costs were $2 a pound this quarter and that compares to $2.17 for the same quarter a year ago or about an 8% decline. This represented a 60 basis point improvement in segment margins for the quarter. The company has locked in approximately 60% of its volume through April. And at current prices expects a modest year-over-year margin benefit from cheese in the fourth quarter. Total operating expenses were up 9.8% to $414 million. There are several factors driving this increase. First, the increase from operating 36 more stores than a year ago is $7 million. The company also incurred $11 million in COVID-related expenses. Ten million in incremental long-term and short-term incentive compensation cost. And, $3 million in labor cost associated with a major store reset we've already discussed.  Our store operations team did an outstanding job managing labor during this challenging environment with same-store labor hours down 5% when we adjust for the COVID sick pay and the store resets. Interest expense was down 13.6% to $11.5 million due primarily to the refinancing of our senior notes that we completed in August. The effective tax rate for the quarter was 21.3% which is comparable to the prior year During the third quarter, the Work Opportunity Tax Credit Program was extended through December 31st 2025 and that drove a positive discrete adjustment to our tax rate in the quarter. The company generally received approximately $5 to $6 million in annual tax savings from this credit. And the prior year third quarter rate was similarly impacted by an extension of the same credit last year. Net income increased 14% to $38.6 million. Adjusted EBITDA for the quarter was $127.4 million compared to $120.4 million a year ago, and that's an increase of 6%. Our balance sheet continues to be very strong. At January 31st, cash and cash equivalents were $389 million. And we have the full capacity available of our $475 million in lines of credit. During the quarter, the company amended our existing credit agreement to include a $300 million term loan that will be used to finance the pending Buchanan Energy acquisition once it closes. Our leverage ratio stands at 1.8 times. And we have no maturities of significance until 2025. At the March quarterly meeting, the Board of Directors voted to issue dividend in the amount of $0.34 per share. The company generated $7 million in free cash flow in the third quarter, which we define as cash flow from operating activities of $111 million less purchases of property and equipment of $104 million. This compares to negative $33 million in the prior year and was driven by both higher earnings and improved working capital performance. Capital expenditures were less than the prior third quarter. But construction efforts are accelerating from the COVID delays that we experienced at the start of this year. Our year-to-date free cash flow performance continues to be favorably impacted by higher earnings, stronger working capital performance which is primarily from fuel prices and the deferral of social security payments under the CARES Act but also from a proactive effort to extend our payment term as well lower purchases of property, plant, and equipment. We do expect free cash flow to be negative in the fourth quarter due to the timing of capital spending. The company has opened 27 new industry stores so far this year and completed the acquisition of three additional stores. We have 23 stores currently under construction. We continue to believe we will finish the year with approximately 40 newly constructed stores opening. As we disclosed previously, Casey's and Buchanan Energy received a request for additional information from the Federal Trade Commission. We continue to cooperate with the FTC. And we do not expect its review to have a material impact on the acquisition or the anticipated economics and synergies. Given the current uncertainty brought on by the pandemic, we are still going to refrain from providing guidance on future results. The fourth quarter is going to be an especially challenging period to model given the pandemic hit that occurred mid-quarter last year. That being said, we do expect profits in the fourth quarter to be lower than prior year due to the unusually high fuel margin the business achieved last year, as well as the unusually low operating expense the business incurred as we drastically reduced store operating hours due to the imposition of lockdowns. We expect our fourth quarter OpEx will exceed the year-over-year percentage increases of the second and third quarters by several hundred basis points because of these comparisons. While our volumes in the first part of the fourth quarter have experienced a double headwind due to the widespread winter storm in mid-February and the continuance of the COVID-19 pandemic, we expect very strong improvement for the second-half of the fourth quarter as we begin to lap the negative traffic patterns of the prior year period. I'll now turn the call back over to Darren.
Darren Rebelez: Thanks, Steve. First I'd like to congratulate the entire Casey's team for delivering impressive results in the third quarter during turbulent times. The fourth quarter got off to a very challenging start with extreme cold temperatures and high snowfall totals impacting much of our operating territory. As of this call, our quarter-to-date year-over-year same-store fuel gallons sold are trending down mid-teens. Fuel margins remain favorable and are trending around $0.30 per gallon currently. Inside sales quarter-to-date are down low single digits. The prepared food categories under the most pressure is trending down in the low double digits, grocery and other merchandise is trending positive in the low single digits. The quarter-to-date figures just disclosed excluded the impact of the extra day in February 2020 due to the leap year. While we experienced a challenging start in the fourth quarter, due to the temporary impacts of both the weather and continuing COVID-19 restrictions, we're excited for the late spring and summer months. With that being distribution already started and projected to ramp throughout the next two quarters and weather in our geographic footprint warming up, we're excited about more guests being able to visit our stores and experience the refreshed assortment. The improvements we've made to our digital guest engagement capabilities should enable us to retain guests that were drawn to our whole pizza pie business. We will also be ready to deploy effective promotions through our reward program to drive business when regular commuter traffic returns from work and school. The team continues to execute our long-term strategic plan. We continue to standby our commitments we made last year. I'd like to go a little deeper on one of the pillars of the plan, re-inventing the guest experience. Our Casey's reward program just celebrated its one year anniversary. The program is very popular with our guests and we now exceed 3.3 million members. We've recently completed customized promotional campaigns to targeted cohorts based on their purchasing history. We're excited for what the future holds for this effective digital guest engagement and we're confident we can have an impact on guest behavior moving forward. We also continue to expand our third-party delivery services. We added 120 new stores to bring our total to 700 sites using DoorDash. DoorDash has provided incremental delivery orders as over 60% of orders were outside of Casey's delivery hours. In addition to DoorDash Casey's is piloting Uber Eats with an expected launch in the first quarter of the next fiscal year. Our private label program continues outperform initial expectations. I previously mentioned the store reset we did to drive inside sales, including private label products. After the first month of the reset, the Casey's brand was the most popular non-tobacco brands sold throughout the chain. We're thrilled with the guest response, but we'll continue to add products to the program so long as they meet these three requirements. First, the product must have a lower retail price compared to the competing national brands. Second, the penny profit for each item must be higher compared to the competing national brand. And last and most important, the quality of the product must be in line or higher than the competing national brands. Adhering to these criteria is proving to be very effective thus far. Private label sales were 2.5% of grocery and other merchandise sales throughout the third quarter. And by the end of the quarter, we're in excess of 3%. The Casey's brand has already grown to be the number one guest choice in bags jerky, packaged bakery, and nuts and seeds, an amazing accomplishment in such a short amount of time and shows the power our brand holds beyond our traditional prepared food program. Due to the progress made with our digital guest engagement, we are positioned well to retain the guests we've attracted to our whole pie business during the pandemic. Over 59% of our orders were placed digitally, whether it be via our app, Web site, or DoorDash. Our Casey's Rewards is assisting with the strong performance of our private label offerings by offering double points as we introduce new products, and we have expanded our segmented promotional campaigns by targeting pizza activity. Offering bonus points to new whole pie purchasers proved effective, and we experienced good conversion on campaigns targeting pizza slice buyers to increase purchasing frequency. In closing, I just want to pass on my appreciation to the entire Casey's team for continuing to execute our long-term strategic plan and delivering fantastic third quarter results. We're looking forward to a steadier future as vaccine distribution becomes more widespread, and believe our business is well positioned, both financially and strategically, to take advantage of pent up demand. We'll now take your questions.
Operator: [Operator Instructions] The first question comes from Karen Short with Barclays.
Karen Short: Hi, thanks very much. I wanted to actually focus on the reset a little bit better. You mentioned in the prepared remarks that, obviously, there was an effort to improve traffic flow, but you talked about an increase in vertical square footage. So, wondering if you could give a little more color on how much vertical square footage you actually added. And then to try to quantify that in terms of actual increase in percent of shelf space, I guess. And then I had a separate follow-up.
Darren Rebelez: Yes, Karen, this is Darren. Yes, we did do the reset for a couple of reasons. The first was to [ordinate] [Ph] our shelving in such a way that it improved traffic flow and promoted impulse purchasing and adjacent purchasing. So, goal number one was to get the right products in the right place within the store, so that as people were walking by they would be impulse to buy other products. And we've seen improvement in our add-on purchases and conversion rates as a result of that. At the same time, we did raise the heights of the gondolas; it was about 12 inches that we raised. And what that did, essentially, was allow us to add about another 250 items to the assortment, so roughly 10% increase in SKUs. And at the same time, we refreshed the entire assortments, so we were able to get more new products into the assortment, and get ride of some of those stale items that had been there for a while and just weren't selling, and being unproductive.
Karen Short: Okay, that's helpful. And then, I actually wanted to switch gears to fuel for a second. Obviously, you called out the rising wholesale environment, but the thing, I guess, for you is that your turns have decreased pretty meaningfully over during the COVID period. So, I'm actually wondering if you could give an update on how many days of inventory you have in the ground un-fueled just to try to get a sense of how much you actually might be even benefiting from a rising wholesale environment with the weak comps -- given the weak gallon comps?
Darren Rebelez: Yes, I wouldn't be prepared to give you the days of inventory, but we do manage that very closely, and try to time our purchases such that we don't walk into the teeth of a rising market. Now, that being said, frankly, it's been unavoidable because the wholesale fuel market has been rising literally ever since the end of October through today. And so, there's only so much you can do to time those purchases and try to manage that inventory. But at a certain point, it almost doesn't matter any more because you've got to get back in stock. So, our fuel team does a nice job of managing that in the short run, but ultimately, in this type of environment, there's not much you can do. And that's why this is always such a challenging environment to operate in when you have a protracted, slow steady rising wholesale environment.
Operator: Thank you. Our next question comes from Ben Bienvenu with Stephens.
Ben Bienvenu: Hi, thanks. Good morning, everybody.
Darren Rebelez: Hi, good morning, Ben.
Ben Bienvenu: I also want to -- I want to follow-up on the story set around the grocery and other merchandise margin impact. Any quantification you could give us for the impact to the third quarter margin? And should we expect that impact to be discreet to 3Q or will any of that bleed into 4Q as well?
Steve Bramlage: Yes, Ben, good morning. This is Steve. We had several millions dollars of inventory adjustments across the supply chain stores and warehouse related to the reset in the quarter that would be discreet for sure. The resets are largely finished. We continue to have year-over-year margin pressure just because of mix changes, right. So as there are larger pack sizes being purchased, especially in the alcohol and tobacco categories, and generally speaking as those two categories which are lower margin in the first place, continue to outperform, and that puts some pressure on the margin. So I -- with current trends, I think the mix pressure continues, but the several millions of dollars that we took in the third quarter specific to the reset should be discreet.
Ben Bienvenu: Okay, great. And then on the operating expenses, you noted your expectation for 4Q, I suspect that's partially reflective of bonuses for vaccinations, as well incentivizing your workforce to get vaccinated. To the degree you have visibility, and I know labor hours will be a key component of this as you look for traffic normalizing as we head into fiscal 2022. But where do you think is a reasonable expectation around operating expense growth for your business? I would assume at a lower rate than your in-store gross profit dollar growth, but any sort of parameter you can give us on what you think is reasonable, as some of these COVID costs start to abate as we move forward?
Steve Bramlage: Yes, we continue to believe that in the medium-term consistent with the Investor Day communication that we had had, right, where we're going to choose to grow operating expense generally at a lower rate than the EBITDA the company is growing. So, we're trying to grow EBITDA at an 8% to 10% CAGR over that medium-term, and we feel good about that. And operating expense should be a couple turns below that. And so if you think of, if we're adding 3% to 4% more new stores each year, that's going to increase operating expense by a comparable percentage. And then the rest of organization, we would expect to grow a couple of percent and keep the entire thing south of that 8% to 10%. And as the COVID-related expenses start to dissipate, hopefully, going forward, that will make that a little bit easier. And obviously, the company's performance has generated quite a bit of incremental incentive compensation year-over-year on the long-term and the short-term side. And we would not normally expect it to be at that level.
Operator: Thank you. Your next question comes from Bobby Griffin with Raymond James.
Bobby Griffin: Good morning, everybody. Thank you for taking my questions. First, I just wanted to touch on the fuel side again, very solid margins, actually only down modestly from the second quarter, despite the rising wholesale environment. So is it just are you guys getting a larger benefit from procurement, all the work you've been doing there or any -- can you just help us unpack some of the drivers there. And then as a second part of that, when do these contracts that we've been moving towards renew, and then how is that renewal process? Is there any risk associated with that, and the benefit won't be as large if you have to renew during this rising period of wholesale prices?
Darren Rebelez: Yes, Bobby, this is Darren. Yes, I think there's a combination of factors that really led to the margin. You touched on the procurement piece of it. And certainly we're at about 74% of our volume under contract now. So that number has continued to rise throughout this year. And so as we get more volume under contract we realize more benefits. At the same time, the team has done a really nice job of managing pricing and managing to strike that right balance between volume and margin. And so I think you've seen, based on Opus data, we've outperformed from a volume standpoint in our geography, and at the same time captured these margins. With respect to the contracts, they all have different terms. And so there's a number of them that have a one-year term, but we signed those contracts at varying times throughout the year. So we don't have any sort of bubble, so to speak of, a number of contracts expiring on any given time. With respect to renewing those, that renewal process can be pretty straightforward. We can negotiate with the current provider. We can put it out RFP with a number of providers depending on the geography. And the fact of the matter is we're a pretty attractive customer where we pay our bills, we have a solid balance sheet. We're very low risk from that perspective. And the fact that we sell unbranded fuel versus branded fuel gives us a lot of optionality, because we're not tied to any major oil companies' brands. So there's not a D-branding cost associated with switching suppliers to be able to capture the best cost.
Bobby Griffin: Thank you. And I guess, secondly, for me just on the private label growth, pretty nice uptake for just launching the product and stuff, as the early success changed, kind of how you think about the ultimate penetration or how the team thinks about what products you might have permission from the customer to participate in from a private label standpoint.
Darren Rebelez: Bobby, it's a good question. I don't know that it's really changed our perspective, but I think we've learned a lot and frankly the level of adoption that we've received from the guest on our products is really exceeded our expectations. And I think as we've reflected on why that is, I think there's a couple of reasons. Certainly those three areas I mentioned before around our private label strategy having a lower retail price that benefits for guests, higher penny profit for us that benefits us, and then a higher quality product, which also benefits the guests, having that combination is really powerful. And so the guests have received a well, but I think probably what we didn't fully appreciate as much was the strength of our brand with perspective prepared foods gave us outsized credibility, I would say with other categories. And so, when we introduce packaged bakery or meat snacks or nuts and seeds, there's an expectation of high quality products at a reasonable price from us in our brand. And so people immediately gravitate to those, and so it's [accelerated] [Ph]. So I would say that it's certainly given us the confidence to continue to accelerate in this path and we'll see what the ultimate mix is as we continue to go, but our private brands team is small, but mighty and they've done tremendous work in a very short period of time. They have a great pipeline of new products that will be coming over the next several months.
Operator: Thank you. Your next question comes from Bonnie Herzog with Goldman Sachs.
Bonnie Herzog: Thank you. Good morning, everyone.
Darren Rebelez: Hey Bonnie.
Bonnie Herzog: Hi. I just wanted to stick with this topic, some of your comments that you just made on the private program are very interesting. And I did want to just verify something. You mentioned you saw the improvement during the quarter, but just trying to get a sense of how many weeks were you able to measure? I mean, when was it essentially [finish] [Ph] being implemented?
Darren Rebelez: Yes, Bonnie, I would say we kind of declared the roll out finished in January of the initial slate of products. So we began the resets in November and that was about a six week process. And at while we are resetting the stores, we're also kind of filling the pipeline in the warehouses with inbound product. And so, all of that product was coming in a different stages depending on the manufacturers, but in January was when we really kind of officially introduced the new assortment the new year, new look and feel for Casey's new private brand products. So really in this quarter we only experienced about a month worth of benefit there.
Bonnie Herzog: Okay. That's helpful. And then based on your previous comments, it sounds like it's not only maybe a margin lift, but more importantly, a comp driver and larger basket size from this short period of time. Is that sort of what you're seeing with this program or expecting to achieve?
Darren Rebelez: Yes, that's certainly our expectation. Yes. And there's a couple of things that drive that one is just the remerchandising of the stores itself to improve the adjacencies within the store, just in the placement of the product in the store. And then certainly the value proposition around our private label is much stronger than the national brands. And then the third piece is just expanding that assortment by about 10%, really all of those things should come together. And we have seen the benefit of that in that grocery category. Now, the thing I just clarify is, this was really kind of a center of store activity. So when you look at grocery in general merchandise overall, that category also includes beverages, includes alcohol, includes cigarette. So we kind of take that out and the benefit has been really seen in that grocery sub category.
Operator: Thank you. Our next question comes from Paul Trussell with Deutsche Bank.
Paul Trussell: Good morning. I appreciate the quarter-to-date color you've provided. Just wanted to maybe dig a little bit deeper into that on how you're thinking about the weather impact and also just, what other items should we really be keeping in mind as we think about kind of modeling out each of the business segments in this fourth quarter?
Darren Rebelez: Yes. Paul I'll touch on that briefly. I'll let Steve take you through some modeling stuff, but it was cold here. And I think Brian had mentioned to me, he'd never heard so many native islands whine about the weather has they had this year. It was a tough November about double the amount of normal snowfall, negative twenties before windchill around here. So, frankly, nobody was wanting to get out of their car and go anywhere if they can avoid it. So, yes, it was a challenging February. We've seen that reverse once the weather broke. And so look you have tough winter sometimes, and this is just kind of the way it works. So you're not going to hear me talk much about weather on a normal course. We fully expect that it'll rebound and we'll have a good fourth quarter. And I'll let Steve talk about the modeling.
Steve Bramlage: Yes, it'll be a tale of two cities in the quarter. So the first-half, probably through the end of this week is about when we lap the real lockdowns will be negative exacerbated by the weather is as Darren mentioned for sure. And it will be almost violent improvement for the rest of the quarter, just because of what happened last year. And it will put us into a strange situation where it's certainly possible that the quarter numbers end up being in positive by the time you average the negative first-half and the very positive second-half, but because of the fuel dynamic that we referenced earlier, right? Where for short period of time, I think margins were close to 60 cents a gallon last year. And we ended up printing 40 cents a gallon. Overall profitability won't reach the prior year level, because obviously fuel is not running it at that rate.
Paul Trussell: Got it, that's helpful. And then just also bigger picture, just maybe talk a little bit more about how you are positioning the business going forward when we're kind of all back out and about and vaccinated. How do you plan to really hold on to these new customers that you've acquire? A lot of consumers are staying home and ordering pies. How are you thinking about the loyalty program and promotions to really drive that engagement and activity back inside of your stores?
Darren Rebelez: Yes, I'm really optimistic about that. We have a lot of tools at our disposal that 12 months ago we didn't have, or 15 months ago we didn't have. If you remember in January last year, we had -- we were just getting started with rewards. Now we have 3.3 million members and growing and we add another 300,000 reward members in the third quarter. So that number continues to grow. So that that gives us a really strong base of people to engage with and to influence behavior with and our team is getting much more nimble about how to recognize different cohorts of guests and their purchasing behavior and being able to feed them, dif0ferentiated offers the drive performance. So, we certainly have that. We have curbside. We've expanded our door dash relationship. We mentioned that we're going to accelerate with Uber Eats in the first quarter. We've got the store reset that we just completed. And our prepared foods team is filling the pipeline of innovation. And so as I've mentioned before, that takes a little time and heavy product development consumer insights work, but that work is ongoing right now. We expect to see some innovation coming from that team throughout this year. And so all of those things, I think will come together certainly to help make that relationship between our guests and us a little more sticky.
Operator: Thank you. Your next question comes from Chuck Cerankosky with Northcoast Research.
Chuck Cerankosky: Good morning, everyone. Going back to the recess a little bit, did you address the Fresh categories at all? Did you add any entirely new categories as you went through this process?
Darren Rebelez: No, Chuck, we really didn't add new categories at this point, although we significantly expanded category. So a lot of the salty snacks increased space, meat snacks doubled in space, nuts and seeds nearly doubled in space. Packaged bakery, we really shifted away from some of the national brands in favor of our own private brand and then reduced space in some of those slower moving categories like automotive and pet and paper and that sort of thing. But no, at this point, we have not introduced new categories, but the category management teams working hard on what's next from that perspective.
Chuck Cerankosky: And then I was wondering if some of the customer traffic flow was designed to do anything to help prepare foods?
Darren Rebelez: Nothing really to help prepared foods at this point, prepare foods is somewhat of a separate exercise. And like I mentioned, the culinary teams working on the innovation from that standpoint, but what we did do is make sure as part of this reset process that we had the center of the store categories of those grocery categories in the proper adjacencies to impact impulse sales. So, I'll give you one easy example is making sure that that packaged bakery product was merchandise adjacent to the coffee, where that has the highest affinity in impulse rate. And so I think part of the strength we've seen in that category, where it's up nearly 40% is a combination of the value proposition of our private brand product, in addition to positioning it next to the coffee where there's the highest likelihood for an impulse purchase.
Operator: Thank you. Our next question comes from Irene Nattel with RBC Capital Markets.
Irene Nattel: Thanks, and good morning, everyone. Could you just come back for a moment to the personalized offer really intrigued by some of the things that you're talking about it in terms of identifying cohorts and personalized offers, but can you tell us how, I as a consumer receive that like what type of personalization? What level and sort of how far along that process are you?
Darren Rebelez: Yes, we're in the early stages of that process, Irene and what we've done at this point is we've identified what we call a cohort of guests or a group of guests that have similar purchasing behavior. And so we look at that guests and see what it is they're buying, and then what it is they aren't buying it or more likely to buy. So, a simple example is somebody who comes in during the week and buys a slice of pizza for breakfast or lunch, but doesn't buy a whole pizza on a Friday or Saturday night. But we know they like our pizza, we just haven't got them into that other occasion. So our team will put together a differentiated offering that can be fed through the rewards program. And they'll get that via text or via email based on how they've opted in on the rewards program. And they'll receive that offer and then they can go and redeem that in the store. So they may get double points, they may get dollars off, they may get a buy one, get one. And so the team is actually testing different offers to see which one has the most effect.
Irene Nattel: And so far, kind of I guess, what's been the uptake on that or what's been the lift when you do that?
Darren Rebelez: Yes, we're not really going to share the details of that. But suffice it to say, we've had some that have done really well. And so the team will double down on some of those. And frankly, some of those things don't work out as well. We won't do them again, but that's all part of the test and learn process that our team goes through assessing these offers.
Operator: Thank you. Our next question comes from Matt Fishbein, Jefferies.
Matt Fishbein: Good morning. Thanks for the question. Now that we're beginning to have some clarity around timing of stimulus checks, do you have any sense of what the business impact was from the previous rounds of stimulus, whether you think they had like an impact on gasoline prices at the pump or the inside sales last time, interested in your perspective there?
Steve Bramlage: Yes, hey Matt. Good morning. This is Steve. We don't have hard data on exactly how the earlier versions of stimulus necessarily impacted us directly. I mean clearly, our view is that when there's more disposable income or discretionary spending power in the system, we're going to benefit from that just like any anybody who's consumer-facing would do that for sure in some of the categories that have shown some strength here, alcohol, lottery, et cetera, right. There seems to be a historical correlation to discretionary spending on those categories. As you look forward right, I think we would stand by the fact that more discretionary income in the system is not going to be a bad thing for us or for our space necessarily. Though, I don't think we could in good faith tell you we can quantify exactly what the impact would be. But a general tailwind for us is certainly our expectation.
Matt Fishbein: Great, appreciate that. And can you give us an update as far as timing goes for the Joplin Distribution Center opening, think the last time we heard it was that like the middle of the calendar year?
Steve Bramlage: Yes, Joplin is beginning to wrap-up. We'll, we should take possession of the building here in the next month, and we'll probably start delivering call it in end of May, early June.
Operator: Thank you. Our next question comes from Kelly Bania with BMO Capital Markets.
Kelly Bania: Hi, good morning. Thanks for taking our questions. Wondering just again on the reset, if you could go back and just clarify, with the grocery and general merchandise margin, how would it have been without the reset? And was there any impact on comps or just general traffic in the store?
Steve Bramlage: Yes, Kelly. Hey, good morning. This is Steve. Clearly, it was a tough quarter on the margin right that we printed, there's no doubt about that, a couple of points, the comp in the prior-year was the highest comp that we had had in the third quarter in that particular segment for a couple years. So, the prior year was about 100 basis points higher than kind of a normal third quarter run rate. So that does not flatter the comparison that we had as a general rule. There was a little bit of disruption to the last part of your question in the stores, we didn't closed the stores for long periods of time, it doesn't take that long, but for sure, we've got people in there, obviously moving product around, et cetera. So we haven't quantified what that impact is on traffic necessarily. We tried to minimize it as much as we could. And so we wouldn't expect again that to the earlier question to increase or to impact the margins going forward, but it certainly had a modest traffic impact as we rolled through all of the stores.
Kelly Bania: Okay, thank you. And I guess just in terms of the next several quarters, just as you think about, the Pizza category and prepared foods in general, just what you're expecting in terms of the promotional environment in that category over the next several quarters?
Darren Rebelez: Yes, frankly it's a little bit hard to handicap right now in terms of what competition is going to do. We haven't seen necessarily any up tick in promotional activity, but we're on the brink of cycling over last year. So I think we're going to have to see on that, we're focused on is just continuing to grow that whole pie business and get some recovery in our slice business. And that the recovery in the slice business is a bigger priority, frankly, which really doesn't compete with most of the other pizza players out there. So we're more focused on trying to get that traffic back into the store, particularly in the morning day part to recapture that business and so we think that will start to come around, particularly as the vaccine becomes more widely distributed, and people return to more normal routines.
Operator: Thank you. Your next question comes from Anthony Lebiedzinski with Sidoti & Company.
Anthony Lebiedzinski: Good morning. And thank you for taking the questions. So my first question is about your digital sales which were up 95%, as you called out in your press release, just wondering if you guys could talk about the transaction size versus transaction volumes for that and just wondering how much of your overall sales are coming from your mobile app? And then I had a separate quick question.
Darren Rebelez: Yes, Anthony about 59% of our orders that for our prepared food came through a digital means. So that would be app or Web site and then another 4% or so, that's about 55% or 4% or so from DoorDash, so 59% of that total. And we see about a $2 per check uplift in those digital formats versus a phone in order let's say, so roughly 10%.
Anthony Lebiedzinski: Got it. Okay, that's very helpful. And then my other question is, so as far as you've mentioned cheese costs, you have locked those until April I believe so. As far as input costs, can you just talk about that what are you seeing as far as trends there as to how we should think about that?
Darren Rebelez: Anthony, just clarify for me. I'm sorry. The question is specifically related to cheese costs, I just want to make sure?
Anthony Lebiedzinski: No, no, I know you already addressed it, the cheese cost. I was just wondering if you could comment on your other input costs and things like coffee or meats and stuff anything else as far as input supply costs.
Steve Bramlage: Yes. There is nothing out of the ordinary around supply cost inflation. We've got contracts for most of the center of the store goods that we purchased that we will deal with normal course price changes as a result of those. I don't think there is anything that's changing on that, there is nothing notable coming through. And in terms of some of the other commodities that would significantly provide margin pressure or headwind for us one way or the other is as we look forward at least over the next couple of quarters, I think the larger issue we continue to deal with from an input cost standpoint will just be ongoing wage pressure, right? As we continue to cycle through multiple states in our geography are already on graduated, minimum wage kind of increase paths. And though we don't pay the minimum wage very often and it creates compression further up the chain as those go. So I think that the wage pressure for us and everybody in the service industry is probably the most relevant kind of ongoing costs that we will continue to look to manage through both productivity and pricing actions.
Operator: Thank you. Our next question comes from Brian McNamara with Berenberg Capital Markets.
Brian McNamara: Hi, good morning. Thank you for taking my questions. Bobby alluded to this earlier with this question as well, but few margins remain elevated as we approach it a year after the sharp drop in oil prices far longer than most of us had anticipated, your margins have benefited from your internal initiatives, price optimization and the like, is there any way to tease out how much of the margin improvement is structural rather than cyclical as we see some of these external benefits normalized?
Darren Rebelez: Brian, I'll let Steve wing on this as well, but it's really hard for us to divine all of that because you have so many different things going on. You've got the actual execution of retail pricing. You have the different supply agreements that we have, and then you have run up in commodities or drop and commodities as case may be, but certainly over the last four months or so, it's been a run-up, it's really hard to tell where that all settles out. It does seem that at least for the time being that there is smaller less resilient operators, who don't have a lot of other options in terms of trying to maintain a certain level of profitability and frankly on their part just to survive. And so, the lever they do have is pulling up the fuel price lever. So, I would say as long as we're in an environment where traffic is significantly impacted by this pandemic and people not being able to go to work or school that we're going to see that dynamic persistent, I've said repeatedly. I think that when this all settles out, I think that margins generally in the industry will be lower than what they've been through the pandemic, but higher than where they were going into the pandemic, but simply because the underlying costs to operate the business are continuing to rise. [Multiple Speakers]…
Steve Bramlage: I don't have anything to add to that.
Brian McNamara: Great. And then secondly, as you guys are now equipped with valuable data from your rewards program, what did this data tell you to inform your decisions prior to the store reset? And what is it telling you a few months later, as you look to continue to expand your private brands business?
Darren Rebelez: Well, I'd say really what we knew going into the resets is that we were under-penetrated on certain categories relative to what we thought we should be. And frankly, when you look at the assortment itself in the store, and we just -- we had an imbalance of space to really gross profit dollars into opportunity. So we just didn't have the growing categories with enough space to be adequately represented and to adequately sell. And so we fixed that with this reset and then expanded the assortment in those areas. So frankly, we've got a better more productive assortment and then compounding that is that we've rearranged furniture so to speak and put those categories in the optimal place within the store, so that we generate the highest impulse possibilities.
Operator: Thank you. Ladies and gentlemen, this concludes the Q&A portion of today's call. I would like to turn the call back to Darren for any closing remarks.
Darren Rebelez: All right. Thank you for taking time today to join us on the call, and we look forward to visiting with you again at our fiscal year-end conference call on June. Have great day.
Operator: Ladies and gentlemen, this concludes today's presentation. You may now disconnect and have a wonderful day.